Heather Lawson: "
Anthony Malkin: "
Thomas Durels: "
Ryan Kass: "
Stephen Horn: "
Christina Chiu: "
Manus Ibekwe: " Evercore ISI Institutional Equities, Research Division
Seth Bergey: " Citigroup Inc., Research Division
Blaine Heck: " Wells Fargo Securities, LLC, Research Division
Dylan Burzinski: " Green Street Advisors, LLC, Research Division
Regan Sweeney: " BMO Capital Markets Equity Research[ id="-1" name="Operator" /> Greetings, and welcome to the Empire State Realty Trust Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Heather Houston, Senior Vice President, Chief Counsel, Corporate and Secretary. Thank you. You may begin.
Heather Lawson: Good afternoon. Welcome to Empire State Realty Trust third quarter 2025 earnings conference call. In addition to the press release distributed yesterday, a quarterly supplemental package with further detail on our results and our latest investor presentation were posted in the Investors section of the company's website at gsrtreit.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in applicable securities laws, including those related to market conditions, property operations, capital expenditures, income expense, financial results and proposed transactions and events. As a reminder, forward-looking statements represent management's current estimates. They are subject to risks and uncertainties, which may cause actual results to differ from those discussed today. Empire State Realty Trust assumes no obligation to update any forward-looking statement in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements in the company's filings with the SEC. During today's call, we will discuss certain non-GAAP financial measures, such as FFO, modified and core FFO, NOI, same-store property cash NOI, EBITDA and adjusted EBITDA, which we believe are meaningful in evaluating the company's performance. The definitions and reconciliations of these measures to the most directly comparable GAAP measures are included in the earnings release and supplemental package, each available on the company's website. Now I will turn the call over to Tony Malkin, our Chairman and Chief Executive Officer.
Anthony Malkin: Thanks, Heather. Good afternoon, everyone. Yesterday, we reported ESRT's third quarter and year-to-date results. We delivered FFO above consensus and reaffirmed our 2025 guidance. Our highly leased portfolio has benefited from strong lease-up executed over the last several years, and 3Q was a slightly lighter quarter for office leasing. Post 3Q closed, we signed another 50,000 square feet of leases and we presently have approximately 150,000 square feet of leases in negotiation. We also delivered our 17th consecutive quarter of positive marks-to-market. We will discuss our healthy pipeline of leasing activity and completed leasing in October in this call. Observatory results were consistent with our guidance. ESRT is purpose-built for strength and agility across all cycles. Our long-term leases, high occupancy, diversified income streams and flexible balance sheet provide a solid foundation for consistent performance and strategic growth. In New York City, office leasing market remains strong. Availability is low at top-tier buildings like ours and rents continue to rise. There is no new supply at our price point and many older buildings properties, which are not like our portfolio, modernized, amenitized, well located, supported by sustainability leadership and a strong financial position, continue to be taken off the market for conversion to residential. We continue to outperform. Our focus right now is on our little over 500,000 square feet of availability in our Manhattan office portfolio. Some is held off the market for assembly of large contiguous blocks at several properties. We remain focused on our ability to drive occupancy and maximize lease economics. At the Observatory, revenue per capita continued to increase in the third quarter in the face of reduced budget traveler visitation. More than half of our visitation is domestic. Slide 16 of our latest investor presentation shows that the Observatory remains resilient. Our strong balance sheet gives ESRT the flexibility to act on opportunity, maintain our portfolio at the highest standards and create durable long-term value for our shareholders. We continue to be leaders in environmental stewardship and healthy building performance, focus on business outcomes and partner with our tenants to help them achieve their own sustainability goals. Earlier this month, ESRT achieved the highest possible GRESB 5-star rating for the sixth consecutive year. Hats off to the team for their continued leadership and excellence. Our entire organization remains laser-focused on the company's 5 priorities: lease space, sell tickets to the Observatory, manage our balance sheet, identify growth opportunities and achieve our sustainability goals. Last month, we announced that Tom Durels, my partner for more than 35 years and our Head of Real Estate, began to transition his role to 2 senior leaders at ESRT. We are deeply grateful to Tom and his impact on our company's success and culture, strategy and post-IPO transformation into a modernized amenitized, sustainable portfolio are all indelible. We have an experienced and capable team to build on the strong foundation that Tom helped to establish. I will now turn the call over to Tom, who has a few remarks. Then Ryan, Steve and Christina will provide more detail on our progress and outlook for the balance of 2025. Tom?
Thomas Durels: Thanks, Tony, and thank you for those remarks, and good afternoon, everyone. I'd like to touch on our recent leadership succession update. We announced in mid-September that after more than 35 years, we began the transition of my role at ESRT to Ryan Kass as Chief Revenue Officer; and Jackie Renton as Chief Operating Officer, the new Co-Heads of Real Estate. I'm here in the room today as Ryan covers our leasing update, and I continue to work with Christina and Tony and assist Ryan and Jackie in our work to deliver strong results and long-term value for our shareholders. And with that, I will hand it off to Ryan to discuss our third quarter leasing results and outlook for the balance of the year. Ryan?
Ryan Kass: Thanks, Tom, and good afternoon, everyone. In the third quarter, we signed 88,000 square feet of new and renewal leases. Subsequent to quarter end, we signed approximately 50,000 square feet of additional leases and have approximately 150,000 square feet of leases in negotiation. We are excited to announce since quarter end, we signed 3 new leases within our North Sixth Street collection. Tourneau leased over 3,700 square feet to open a Rolex store at 86-90 North Sixth, an asset we purchased last quarter as a strategic redevelopment opportunity on one of New York City's most dynamic retail corridors. Our partnership with a global luxury brand like Rolex prior to commencement of our redevelopment work underscores both the quality and success of this location, which anchors Williamsburg as the premier destination for high-end retail and institutional investment. We also signed new leases with Tocovus and HOKA. Beyond that, we have one space left to lease on North Sixth Street, and that is adjacent to Rolex in our 86-90 redevelopment property, and we are confident in more good news when existing leases roll. Manhattan office occupancy increased 80 basis points sequentially to 90.3%, and we remain on track to achieve our year-end commercial occupancy guidance of 89% to 91%. As mentioned, we have 150,000 square feet of leases in negotiation. Tenant demand continues to be diversified, and we are in discussions with prospects from various industries such as finance, professional services, TAMI, consumer products and others. New York City's office leasing market is the strongest it has been since 2019, which creates a favorable backdrop for us to execute. Our Manhattan office portfolio is over 93% leased, our 11th consecutive quarter above 90%, which is a testament to the strength of our leasing platform and strong execution over the last few years. We have slightly over 500,000 square feet of Manhattan office vacancy. As Tony mentioned, in a market with limited supply, we will create large contiguous blocks at several properties to accommodate demand. We remain focused on improved occupancy and rent growth as the market continues to strengthen. In today's bifurcated market of haves and have-nots, ESRT remains a clear have. Demand is concentrated among top quality, amenitized, transit-oriented buildings owned by financially strong landlords with proven operational performance. Our best-in-class portfolio has enabled us to push rents, reduce concessions and extend lease terms. The third quarter marked our 17th consecutive quarter of positive mark-to-market lease spreads in our Manhattan office portfolio and underscores the consistent pricing power of our portfolio. We have $46 million in incremental cash revenue from signed leases not commenced and free rent burnoff as shown on Page 19 of our supplemental that reflects our leasing success. Lastly, our multifamily portfolio continues to deliver excellent performance with 99% occupancy and 9% year-over-year net rent growth. These results reflect strong market fundamentals and our focus on operational excellence. Thank you. I will now turn the call over to Steve. Steve?
Stephen Horn: Thanks, Ryan. For the third quarter of 2025, we reported core FFO of $0.23 per diluted share. Same-store property cash NOI, excluding lease termination fees, increased 1.1% year-over-year after adjustment for approximately $1.7 million of nonrecurring items recognized in the third quarter of 2024. Adjusted for these nonrecurring items, same-store cash revenue and operating expenses increased 1.3% and 1.5%, respectively, year-over-year. Operating expenses increased due to the timing of planned repair and maintenance work and higher real estate taxes and were partially offset by higher tenant reimbursement income. As we progress through the balance of 2025, we expect a strong fourth quarter from a year-over-year cash NOI growth perspective due in large part to a real estate tax abatement we expect to recognize at the end of the year. In our Observatory business, we generated approximately $26.5 million of NOI in the third quarter. Observatory expenses totaled $9.5 million and revenue per capita increased 2.7% year-over-year. Core FAD increased to $40.4 million in the third quarter from $11.9 million in the second quarter. This mainly reflects a reduction in FAD FX spend from $52 million last quarter to $25 million this quarter. This is consistent with the commentary from our previous earnings call, where we conveyed our expectation for CapEx to trend lower in the second half of 2025. With that, I will now turn the call over to Christina. Christina?
Christina Chiu: Thanks, Steve. I'll touch on the Observatory and our capital allocation strategy before we shift to Q&A. Our iconic Empire State Building Observatory remains a resilient asset and strong contributor to our bottom line cash flow. As Tony mentioned, performance has been consistent with our revised guidance. We continue to see steady domestic demand offset by reduced international visitation. We remain focused on the levers within our control to enhance the guest experience, broaden our marketing reach and drive operational efficiency. Our unmatched brand position as the authentic New York City experience anchored by the world's most iconic building supports sustained long-term growth as global travel patterns normalize. Our well-positioned and flexible balance sheet remains one of our key strengths with ample liquidity, lower leverage versus sector peers at 5.6x net debt to EBITDA, a well-laddered maturity schedule and no unaddressed maturities until the end of 2026. Subsequent to quarter end, we announced the issuance of $175 million of senior unsecured notes in a private placement at a rate of 5.47% that will fund in mid-December and mature in 2031. Proceeds will be used towards general corporate purposes, including potential new investments and repayment of debt. And as a reminder, all $250 million of our Williamsburg acquisitions since late 2023 were executed on an unlevered basis. From a capital allocation standpoint, we continue to actively underwrite new investment opportunities across New York City office, retail and multifamily. The market has seen a pickup in transaction activity and investment opportunities, the return of institutional capital and strong recognition of the strength of New York City underlying property fundamentals. We continue to pursue opportunities where our operating and repositioning expertise can create meaningful value and our strong liquidity provides the flexibility to act decisively when conditions align. As we look ahead, our focus remains on driving sustainable cash flow to the bottom line through our high-quality New York City portfolio that is well diversified across sectors and sources of income that benefit from live, work, play and visit. Our operating expertise, flexible balance sheet and high-quality assets continue to position us to capitalize on the strength of the Manhattan office market. Over the last several years, we have achieved more than 600 basis points of positive lease absorption across our Manhattan office portfolio. At the same time, we have tax efficiently recycled out of noncore suburban market and invested approximately $675 million into Manhattan multifamily and Williamsburg retail assets to optimize cash flow growth over time through higher rent growth and lower CapEx requirements. We continue to evaluate additional recycling opportunities that are accretive to long-term cash flow and seek ways to operate more efficiently. We also continue to evaluate opportunistic share repurchases within our broader capital allocation framework. That concludes our prepared remarks. And with that, I'll turn the call back to the operator to begin Q&A.[ id="-1" name="Operator" /> [Operator Instructions] Our first questions come from the line of Manus Ibekwe with Evercore ISI.
Manus Ibekwe: I was just wondering if you could expand a little bit more on the capital uses side after you now placed a private placement in December. And just in terms of if there's any specific acquisition or potential transactions that you're looking at, maybe also comment on the general transaction market a little bit more, if there are kind of like pockets within New York that are more attractive than others? If you could talk about cap rates to the extent you can, that would be great. Or just kind of giving a little bit more color just on that bucket in general, that would be very helpful.
Christina Chiu: Sure. So as we've mentioned, we continue to actively underwrite deals in New York City, and that would span across office, retail as well as multifamily. So that remains the case, and we're really positioned with good liquidity so that we can move quickly when the right deal comes up. On top of that, we also have a couple of debt maturities early next year, which is why we referenced that within our remarks. You're asking about cap rates. And I think the market has had some transactions that have provided some cap rate evidence, but the reality is not all deals are the same. And so you see some deals with sort of mid- to high single-digit cap rates, but they're very bespoke to the transaction. And then you have other deals that are more situational and cap rates aren't as relevant of a metric. You really have to look at those on a per pound basis. So overall, we want to be well positioned as always to be able to transact, and we are actively looking. [ id="-1" name="Operator" /> Our next questions come from the line of Seth Bergey with Citi.
Seth Bergey: I guess as you think about kind of New York and the mayoral election, it seems like some of the policies are largely kind of aspirational or require state legislative support to pass. But are you concerned about any tenants that may be more directly exposed to changes in rent or anything like that?
Anthony Malkin: So first of all, as I've said so many times, we are incredibly fortunate to be in New York City. And New York City is the best market in the United States, and that makes it one of the best, if not the best markets in the world. Number two, we very clearly operate on the basis, as I've mentioned before, we do policy, not politics. So whoever shows up, whatever administration arrives, that's the one with which we deal, and that's where we try to contribute both to policy and do our best to work from a business perspective. We're always concerned about all developments. And at the same time, New York City has and continues -- has been and continues to be a magnet for the job seeking college graduates, the folks who want to come and make their careers and live in a vibrant environment. And by the way, those are an awful lot of today's voters. So they are the employees. The employers are here because they want those employees, and we are very positive on the future of New York City. Outside of that, it's all speculation. There are certain checks and balances, as you said, and we'll see what comes.
Seth Bergey: Okay. Great. And then I guess just a second one, as you think about capital allocation, how attractive is buying back stock where your shares are currently trading?
Christina Chiu: We think our share price is very attractive, provides a great entry point for those interested in our portfolio that's extremely well positioned, well leased, strong operating fundamentals. For us as a company, we definitely look at that. As I mentioned, we've done $300 million of share buybacks over the years. So clearly, a part of our strategic capital allocation. And we've also mentioned we're looking at opportunities. And I think it's a balance that you want to find the right deals and be able to act and you need to have liquidity and capacity for that and at the same time, balance that against share buybacks. So both are definitely on the table. And I think with our flexible balance sheet, we can -- we have room to do both. [ id="-1" name="Operator" /> Our next questions come from the line of Blaine Heck with Wells Fargo.
Blaine Heck: Great. And Tom, all the best in the future. Thanks for your help over the years. We've seen a recent uptick in layoff headlines for some companies with Amazon probably being the largest and most recent. So within that context, can you comment on whether you've seen any change in trends with respect to expansion versus construction of space at expiration? And more broadly, just how you guys are thinking about the potential rising trend of layoffs as it relates to demand for office space as we head into '26 and '27.
Anthony Malkin: So first of all, I just to make sure that you're aware, Tom is not only here, he's here for the announcement for months to come. So several quarters to come, possibly as long as for the full duration of what was announced in our disclosure. So you'll have an opportunity to see them if you'd like to because we get to see them every day. Second of all, I think it's very important to note, we've had over 3.1 million square feet of expansions of existing tenants within our portfolio since our IPO in 2013. We have active discussion, though not -- actually active discussion and part of our leasing pipeline consists of existing tenants with intention to expand. So we still see good growth, number one. Number two, we serve the fatest, widest component of the office market. And that's the opportunity with ESRT. And we are top of tier in our price range. So from our perspective, we do not see anything in the way of contraction. Everybody with whom we speak comes to us because of the quality of our portfolio and several of them have migrated from what would be thought of as glass and steel buildings. And finally, and most importantly, we still have ongoing expansion within our portfolio from existing tenants. So as we look and we go forward, there are all kinds of reasons for which people might not expand or take additional space. We don't see any of them play out right now. And the Amazon announcement, as we might say, they announced people they had already laid off and plans for future layoffs. The word we get from the sources with whom we work, New York City is still the #1 desired desk for anyone who works at Amazon.
Blaine Heck: Got it. That's very helpful, Tony. Switching gears, I think you guys covered the acquisition side. But with respect to dispositions, is there any update to share on Metro Center? And then past that, are there any assets in the portfolio or groups of assets in which you think you might have maximized value and could be good funding sources if you were to look at kind of a larger deal on the acquisition side?
Christina Chiu: Yes. We don't have an additional update on Metro. As we've mentioned, we can be flexible on that front. We are looking to sell that asset. But if it doesn't work out, we also have attractive in-place debt and can continue. There is still tenant demand in that space, and that was really a capital allocation decision for us. As it relates to other capital recycling, as I mentioned, we are definitely open to that. And it's as you stated, if we've added value and it's a quality asset, there could be buyers that are interested in a strong market like New York City, and it may make sense for us to dispose of those assets so we can redeploy proceeds into assets where we can add more value, and that would span New York City office, retail and multifamily. So it's extremely consistent with what we've communicated to you. And now with more activity in the market, it does feel like a better time as compared to 18, 24 months ago, where financing wasn't as readily available weren't as many deals, institutional capital had some question marks. So as we get into a more vibrant market, it does feel like that's a logical consideration, and we'll keep the market updated. [ id="-1" name="Operator" /> Our next questions come from the line of Dylan Burzinski with Green Street.
Dylan Burzinski: Tony, you mentioned that your guys' portfolio caters to the largest subset of demand in New York. Can you kind of just talk about any trends you're discerning? Are you seeing more activity amongst some of the larger tenants out there in the market? Are there certain industries that are outpacing? I know, obviously, tech leasing has been subdued lately, but are you seeing any sort of green shoots on that front as it relates to demand within that industry?
Ryan Kass: So this is Ryan here. We -- one of the advantages that Tony spoke about in our portfolio is diversification, we appeal to everybody. So we have a lot of interest from a lot of different sectors. It does range from TAMI, consumer products, fire, professional services. Our job is to assist our tenants with employee recruitment and retention. And what we're seeing is a lot of the conversations right now are driven by tenants looking to upgrade into better quality spaces and also expand their offering.
Dylan Burzinski: That's helpful. And then I guess just touching on the net effective rent environment. I know you guys have noted in the past that you guys have continued to see net effective rent growth across the portfolio. But I guess as you look out to 2026, given limited competitive availability that you guys compete with as well as just the amount of robust demand in the market. I mean, is there a potential to sort of see, call it, rent spikes in '26 and '27? I know one of your peers talked about potentially seeing cumulative rent growth of like 25% over the next 5 years. So just sort of curious you guys' thoughts on that.
Anthony Malkin: Gosh. Well, if you look at what we've accomplished over the last 5 years, we have very much seen rent spikes across our portfolio. And as an example, the active negotiations underway at Empire State include rents over long terms in the mid-90s for their -- the lives of those leases and going into the 90s at One Grand Central Place. So from our perspective, we're very much in that environment. We still think it is a very healthy environment. And when it comes to the future, we do, at this point, still anticipate increased rents due to shortage of available space. When you talk about our competitive set, I think it's really important to note, the buildings which are being taken out of circulation, the important thing to us is that limits our competitive set. Those buildings, which will not be reinvested in, will not be modernized, will not be amenitized, will not be made energy efficient for office tenants means that we are the best house on our block for sure. It also means we're the most affordable house on the best block. So number one, from our competitive set, many of which are being taken out of circulation, but we're top of tier. Number two, we do pull from other buildings where either because they may be glass and steel, but they are not modernized and amenitized with energy efficiency and sustainability in great locations or just the rent is too darn high, they come to us, and we're a bargain even at our increased rents. Ryan, anything else you want to add there?
Ryan Kass: No, I think you summed it up really well. [ id="-1" name="Operator" /> Our next questions come from the line of Regan Sweeney with BMO Capital Markets.
Regan Sweeney: I just wanted to dive into the pipeline of 150,000 square feet. Is that really all office? Or is there also a retail component in that? And then just can you give the breakdown between the different property types if available?
Ryan Kass: So that's a healthy mix of both office and retail as well as a mix of new and renewal. So right now, what we're focused on, as Tony spoke about earlier, is the creation of the large blocks of space. We're 93.1% leased. We have the 150,000 square feet of leases in negotiation. Roughly 20% of our Manhattan office vacancy right now is strategically held off market in connection with the assemblage of those large blocks. And that's really in response to market demand, and we believe it's going to provide better long-term economic results.
Anthony Malkin: I would add in addition to Ryan's comment that -- look, we don't have that much retail to lease. So the vast bulk of that 150,000 square feet is office. And it's across our portfolio and its price ranges.
Regan Sweeney: Great. And then just on the rent spreads, obviously, the office has done very well, but there's been a few quarters of weakness in the retail segment. So just where rents really going out today? Is there an opportunity for the Williamsburg portfolio to pick up on that? And then just also on multifamily, I know you said there was a 9% rent growth in the quarter, but I noticed in the presentation, you removed the bullet on the year-over-year rent growth. So has there been a change in October or something expected going forward?
Anthony Malkin: So, Ryan, why don't you talk to Williamsburg and then we'll move things around from there.
Ryan Kass: So we're very excited with what's happened in Williamsburg. This week, we signed 3 transactions. Obviously, Tourneau will be putting Rolex at the redevelopment at 86-90, Tocovus, HOKA. We're left with one vacancy. We leased our -- the Hermès temporary space that will be vacated next year, and we've been pushing rents there and continue to see an increase in demand from tenants that are walking the street.
Anthony Malkin: Yes. Of course, the great news for us on that Hermès moves to its permanent new flagship store, and we've already got that backfilled.
Ryan Kass: Correct.
Anthony Malkin: And the 8690 acquisition, that lease to Tourneau /Rolex is -- that's terrific for us. It exceeded what we expected to happen and happened much more quickly than we thought it would. That was a direct deal that we did ourselves with no representing broker. We just dealt with the tenant broker. Very grateful to Andrew Greenberg, a CBRE for that. When we look at the resi, Christina, maybe you want to comment on that?
Christina Chiu: I'm not familiar with the specific bullet that was mentioned, but we continue to see good fundamentals. Happy to take it offline and go through any of the items that you want to. But overall, fundamentals remain quite strong.
Anthony Malkin: Yes. Just to give a bit more details there. Year-over-year, Ryan already mentioned the net effective rent growth of 9.3%. But we have 2 other factors that play into the success there year-over-year. We had 180 basis points of occupancy pickup, which contributed to about 25% of that rent growth -- or revenue growth, I should say. And then also, we had a number of units that we held offline that we disclosed as part of a potential 421A program, and those have now all been re-leased. And so that contributed to about another 15% of that pickup. So really firing all cylinders on the residential side. [ id="-1" name="Operator" /> There are no further questions at this time. I would now like to hand the call back over to Anthony Malkin for closing comments.
Anthony Malkin: So thanks so much. Thanks, everybody. At ESRT, we are steadfast in our focus on 5 strategic priorities: lease space, grow Observatory revenue, maintain a strong and flexible balance sheet, pursue disciplined growth and advance our sustainability leadership. Each of these pillars supports our mission to create lasting value for our shareholders. With our differentiated portfolio, strong financial position and proven track record of execution, we are well positioned to capitalize on opportunities as they arise and to continue to deliver results with focus, discipline and consistency in the quarters ahead. Thanks, everyone, for your participation in today's call, and we look forward to the chance to meet with many of you at non-deal roadshows, conferences and property tours in the months ahead. onward and upward. [ id="-1" name="Operator" /> Thank you. This does now conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.